Operator: Ladies and gentlemen, thank you for standing by, and welcome to the American States Water Company Conference Call discussing the company's First Quarter 2022 Results. This call is being recorded. And if you would like to listen to the replay of this call, it will begin this afternoon at approximately 5 P.M. Eastern Time and run through until Tuesday, May 10, 2022 on the company's website at www.aswater.com. The slides that the company will be referring to are also available on the website. After today's presentation, there will be time for a question-and-answer session. [Operator Instructions] Today's call will be limited to an hour. Presenting today from American States Water Company is Bob Sprowls, President and Chief Executive Officer; and Eva Tang, Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. Please review a description of the company's risks and uncertainties in our most recent Form 10-K and Form 10-Q on file with the Securities and Exchange Commission. In addition, this conference call will include a discussion of certain measures that are not prepared in accordance with Generally Accepted Accounting Principles or GAAP in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information, but are not presented in our financial statements that are prepared in accordance with GAAP. For more details, please refer to the press release. At this time, I will turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company.
Bob Sprowls: Thank you, Joe, and welcome everyone, and thank you for joining us today. I'll begin with some brief comments on the quarter. Eva will then discuss some financial details and then I'll wrap it up with some further thoughts on the quarter, updates on regulatory filings, California's drought condition, ASUS, dividends, and then we'll take your questions. This was an unique quarter with earnings per share coming in lower than the first quarter last year due to timing issues with receiving a final decision from the California Public Utilities Commission or CPUC on our water general rate case at Golden State Water. Eva will discuss these results in detail. We continue to deliver high-quality water, wastewater and electric services to customers during the quarter. We are making good progress on our goal to spend the $140 million to $160 million this year and infrastructure investments at our regulated utilities that we discussed during the year-end call, strengthening the pipes, wells, hydrants, tanks, power lines and more that our customers need for the long term. Along with awaiting a decision from the CPUC and Golden State Water's general rate case, we are also actively involved in processing our cost of capital application. In fact hearings begin today in that application. We also strengthened the leadership at ASUS with the addition of Chris Connor who joined the company as Senior Vice President and was previously at Jacobs Engineering. Chris brings a strong leadership background and among other things proven business development and sales track records working with the Department of Defense. I will now turn the call over to Eva.
Eva Tang: Thank you, Bob and hello everyone. Let me start with our first quarter financial results. Consolidated earnings were $0.38 per share as compared to $0.52 per share last year. Due to the delay in receiving a final decision in the pending water GRC as mentioned by Bob, revenue -- water revenue billed and recorded for the first quarter of 2022 were based on 2021 adopted rates. As the new rates being approved and implemented on January 1 this year, consistent with the November 2021 settlement agreement reached between Golden State Water and the Public Advocates Office at CPUC. Golden State Water would have recorded additional revenue of approximately $6.3 million or $0.12 per share and additional water supply costs of $1.6 million or $0.03 per share for the first quarter of 2022. Including these additional revenues and water supply costs consolidated adjusted diluted earnings for the first quarter ended March 31, 2022, were $0.47 per share. For our water utility subsidiaries, Golden State Water Company earnings were $0.23 per share as compared to $0.33 per share last year. Included in the results for the first quarter of 2022 were losses of $1.7 million or $0.03 per share, on investments held to fund one of the company's retirement plan as compared to gains of $628,000 or $0.01 per share for the same period in 2021. Excluding the gains and losses on investments from both periods, adjusted diluted earnings at the water segment for the quarter were $0.26 per share as compared to adjusted earnings of $0.32 per share for the same period in 2021 that is an adjusted decrease of $0.06 per share. Also included in the results for the first quarter of this year was a $1.4 million reduction in revenues or $0.03 per share, to reflect the estimated impact of a lower cost of debt included in Golden State Water's pending cost of capital application. There were also increases in operating expenses and in the effective income tax rate partially offset by lower interest expense. Our Electric segment's earnings for the three-month period ending March 31, 2022 and 2021 were $0.07 per share. An increase in electric revenue was offset by higher operating expenses. Earnings from our contracted services segment, decreased $0.04 per share for the quarter largely due to a decrease in construction activity as a result of timing differences, partially offset by an increase in management fees and lower overall operating expenses. Consolidated revenue for the first quarter of 2022, decreased by $8.5 million as compared to the same period in 2021. The decrease was mostly due to lower contracting activity at our Contracted Services segment due to timing as discussed and the cost of debt adjustment expected from the cost of capital proceedings at the water segment. The increase in electric revenues was largely due to CPUC-approved rate increases, effective January 1, 2022, as well as an increase in customer usage as compared to the first quarter of 2021. Turning to slide nine. Our water and electric supply costs were $23.3 million for the quarter, an increase of $700,000 from the same period last year. Any changes in supply costs for both the water and electric segments, as compared to the adopted supply costs, are tracked in balancing accounts. Looking at total operating expenses other than supply costs. Consolidated expenses decreased $3.2 million as compared to the first quarter of 2021. This was primarily due to a decrease in construction costs at our contracted services segment, resulting from lower construction activity, partially offset by increase in administrative and general expenses, depreciation and other operating and maintenance costs. Interest expense, net of interest income, but excluding the losses and gains on the investment, decreased by $566,000 due to the early redemption of Golden State Waters 9.56% $28 million private placement notes in May of 2021, partially offset by an overall increase in total borrowing levels to support our capital program. Slide 10 shows the EPS bridge comparing the first quarter of 2022 with last year's first quarter. Turning to liquidity on slide 11. Net cash provided by operating activities was $38 million, as compared to $24.7 million in 2021. During the first quarter of 2022, our regulated utilities receive a total of $9.8 million in COVID relief funds from the state of California to provide assistance to customers for delinquent water and electric customer bills incurred during the COVID-19 pandemic. The increase in operating cash flow was also due to differences in the timing of vendor payments, as well as differences in the timing of billing of and cash received for construction work at military bases. Our regulated utility invested $35.5 million on company-funded capital projects during the quarter and we estimate our full year 2022 capital expenditure to be $140 million to $160 million, barring any unexpected delays resulting fast supply chain issues or the effects of the pandemic. In April, 2022, American States Water's credit facility was amended to increase the borrowing capacity from $200 million to $280 million through the expiration of the credit facility in May of next year. This overall increase in total borrowing capacity will support, among other things, the capital program at Golden State Water. With that I'll turn the call back to Bob.
Bob Sprowls: Thank you, Eva. Before I get into regulatory matters, I'd just like to reiterate a few factors impacting our first quarter's earnings. At 2022, water rates been approved, consistent with the settlement agreement and implemented on January 1, 2022, Golden State Water's earnings contribution for the quarter would have been $0.09 per share higher. Once a final decision is issued by the CPUC and the general rate case, the new rates will be retroactive to January 1, 2022. Therefore, we will record the retroactive impact at the time a decision is issued. So we view this as a timing difference for the year. We also adjusted the water revenues to reflect the lower cost of debt in Golden State Water's pending cost of capital application, which decreased the quarterly earnings by $0.03 per share. The investment loss of $0.03 per share on one of our retirement plans during the first quarter of this year, negatively impacted earnings by $0.04, as compared to last year's first quarter. We also expect ASUS to catch up on its construction activity during the remaining three quarters and we reaffirm our projection that ASUS will contribute $0.45 to $0.49 per share for 2022. I will now discuss our water general rate case filed in July 2020, to set new rates for the years 2022, 2023 and 2024. As I mentioned in our last earnings call, we reached a settlement agreement with the Public Advocates Office in November of last year on this general rate case. Only three issues were not settled. Let me briefly recap some of the key points in the settlement. The settlement among other things authorized Golden State Water to invest approximately $404.8 million in capital infrastructure for the three-year rate cycle. The amounts included in the settlement agreement, if approved, would increase the 2022 adopted revenues by approximately $30.3 million, as compared to the 2021 adopted revenues, an increase to 2022 adopted supply cost by $9.7 million, as compared to the 2021 adopted supply costs. The three issues not included in the settlement agreement were contested through the briefing process, rather than hearings and include Golden State Water Company's request for a medical cost balancing account, a general liability insurance cost balancing account and consolidation of two of the company's smaller customer services areas for rate-making purposes. We are disappointed that we have not seen a proposed decision. As we mentioned, the delay negatively impacted our earnings by a net of $0.09 per share for the quarter. But since the new water rates will be effective January 1, 2022, we will record the retroactive revenues and expenses during the quarter in which the final decision is issued by the CPUC. A proposed decision is expected in mid-2022. Furthermore, Golden State Water completed $9.4 million of capital projects from the prior rate case, recently approved by the CPUC for revenue recovery through advice letters, also included in the pending general rate case. The additional annual revenue requirements generated from these advice letter capital investments are $1.2 million and became effective February 15 of this year. Next, I will discuss the cost of capital case. Golden State Water filed a cost of capital application with the CPUC in May of 2021, requesting a capital structure of 57% equity and 43% debt, a return on equity of 10.5%, an embedded cost of debt of 5.1%, and a return on rate base of 8.18%. The hearings are set to start today. The cost of capital will be effective for the years 2022 through 2024. Once approved by the CPUC, that revenues will be reset based on the new cost of capital, which will be retroactive to January 1st of this year. A proposed decision is expected in the second half of 2022. In the first quarter, we recorded a reduction to revenues of $1.4 million or $0.03 per share to reflect the estimated revenue impact of a lower cost of debt of 5.1% as requested in our cost of capital application as compared to 6.6% included in 2021 rates, currently billed to water customers. Bear Valley Electric is scheduled to file its general rate case in June to set new rates for the years 2023 through 2026. I'll now discuss the drought situation in California. As of April 26th, the US Drought Monitor reported that 41% of California was considered an extreme drought. California is experiencing a record drought in calendar 2022 with precipitation from January to March as the driest on record for this three-month period. Due to deteriorating conditions, the California Department of Water Resources reduced the allocation of State Water Project water from 15% to 5% on March 18th. On April 26th, the Metropolitan Water District of Southern California or MWD, declared a water supply emergency condition for the State Water project-dependent areas. This will impact Golden State Water's Simi Valley and Claremont service areas, which utilize a portion of their supply from the State Water project. This action also includes a phased Emergency Conservation Program that limits outdoor watering in those areas to one day per week. Should necessary demand reductions not be realized, MWD will move to zero outdoor watering days later in the summer. In addition, on March 28th, the Governor of California issued an executive order calling on all urban water suppliers to reduce water use by 20% to 30% compared to water use in 2020. Golden State Water will be working with its local suppliers to assess water supply conditions and water-use restrictions in its service areas and intends to make appropriate adjustments as needed. In 2021, the CPUC authorized Golden State Water to track incremental drought-related costs in a memorandum account for future recovery. Turning our attention to slide 16, represent the growth in Golden State Water's average rate base as authorized by the CPUC for 2018 through 2021. The weighted average rate base has grown from $752.2 million in 2018 to $980.4 million in 2021. Based on the general rate case settlement agreement the 2022 rate base amount is $1152.3 million, which if approved would result in a compound annual growth rate in rate base of 11.3% since 2018. The rate base amounts shown for 2021 and 2022 do not include any rate recovery for advice letter projects. Let's move on to ASUS, which had earnings of $0.08 per share for the first quarter of 2022, as compared to $0.12 per share for the same period in 2021. The decrease was largely due to timing differences in construction activity between the two periods, partially offset by increased management fees and lower overall operating expenses. Again, we reaffirm our projection that ASUS will contribute $0.45 to $0.49 per share, for 2022. The completion of filings for economic price adjustments requests for equitable adjustment asset transfers and contract modifications awarded for new projects, provide ASUS with additional revenues and dollar margin. We remain confident, that we can effectively compete for new military-based contract awards in the future, based on our proven track record of managing water and wastewater related services for military bases since 2004. We're actively involved in various stages of the proposal process at a number of other bases considering privatization, and the U.S. government is expected to release additional bases for bidding over the next several years. I would like to turn our attention to dividends. Last week our Board of Directors approved a second quarter dividend of $0.365 per common share. In 2021, our Board increased the annual dividend from $1.34 per share to $1.46 per share, an increase of 9%. Over the last 10 years our dividends compound annual growth rate is nearly 10%, consistent with our policy to achieve a compound annual growth rate in the dividend of more than 7% over the long-term. Each quarter I'd like to remind everyone of our long and consistent history of dividend payments dating back to 1931, in addition to our unbroken 67-year history of annual dividend increases which places us in an exclusive group of companies on the New York Stock Exchange, which have achieved that result. I'd like to conclude our prepared remarks by thanking you for your interest in American States Water. And we'll now turn the call over, to the operator for questions.
Operator: We will now take your questions. [Operator Instructions] We will begin with a question from Angie Storozynski with Seaport. Please go ahead.
Angie Storozynski: Thank you. Okay. So maybe starting with the cost of capital proceeding. So you've lowered your -- you lowered your first quarter earnings to account for the lower cost of debt. Can you comment about -- can you comment on the equity layer and the potential increase in the ROE? So maybe like a rule of thumb any -- every 10 bps of an increase in the ROE, how big an earnings impact it could have? And also how this requested 57% equity layer compares to the actual equity that you currently have?
Bob Sprowls: Okay. And I'll start with the equity piece. We have a requested 57% equity in the case that's what our actuals have shown historically. Public Advocates report recommends equity layer of 56.85%. So we're pretty close on that.
Angie Storozynski: Okay. And then every changes of an increase in the ROE, how big of an earnings impact that would have?
Eva Tang: I think Angie if the ROE changes by 10 basis points, we're thinking about a little bit over $0.01 net earnings impact for every changes of 10 basis points.
Angie Storozynski: Okay. Because you guys again maybe I'm just too optimistic who knows. But you in a sense lowered your numbers for the lower cost of equity, but without any potential offset that comes from the potentially higher ROE. And I know that that's more -- a more conservative approach. But again that's understates your earnings versus those of your peers at these -- as far as the first quarter is concerned?
Eva Tang: So may I go into a little bit on that subject, Angie.
Angie Storozynski: Okay.
Eva Tang: As you know it's difficult to predict the final outcome of the pending results from this decision. And, however, given the significant increase in our cost of debt component alone, we decreased from 6.6% to 5.1% in this proceeding and we're pretty close to ORA's accommodation. So that's a 150 basis point difference there. And high-profitability this piece being approved, we'll have to refund this to customers. That's why we recorded $1.4 million for the lower cost of debt piece only in Q1, because it's pretty -- it's very certain -- known at this point. And it will be retroactive to January 1st. That's why we booked it in the first quarter. With regard to the other items, ROE and cap structure at this time we cannot really predict the outcome of the ROE especially, the cap structure is pretty close. We think we'll win that piece, but we'll see the final decision. So some information becomes more available, we'll revise our estimates along the way. I think we booked the cost of debt, which is pretty certain at this time.
Angie Storozynski: Okay, okay. That’s fine. And then secondly on the electric side. So I understand that you're going to file a rate case in June. There was no growth in earnings in the first quarter. Can you talk about your expectations for the entire 2022? Given that it's the last year of the current rate cycle, would you expect some earnings growth for the electric segment year-over-year?
Bob Sprowls: Yes, you accurately point out that it is the last year of the rate cycle. So you wouldn't expect as much growth, I would say in this case year five as you would see in earlier years. The other part of that is, we are spending money on wildfire mitigation expenditures and those have -- so we're spending on them in advance of getting them in rate recovery. So those will be included in the general rate case that we filed in June.
Angie Storozynski: Okay. And then the last thing, the earnings hit from the pension performance of -- parts of your pension funds. So this $0.04 hit that's a year-over-year hit. But can you say how that compares to for instance your annual expectations? I know that you don't issue guidance. But how does that look versus what you had hoped for 2022? 
Bob Sprowls: Well, when we're starting out the year, we didn't expect what's happened in the stock market over the course of the first three months of the year. So we generally typically expect, a sort of net positive from the assets there. And these things -- this is a timing difference we hope that maybe you know better than we as -- what the prospects for the S&P 500 are. But yes, so this is timing last year we – 2021, we had a very nice gain on those assets. So these things are -- they do bounce around from year-to-year.
Angie Storozynski: And then just circling back to the cost of capital in California. So as you mentioned the hearings are starting. Typically, settlement happened before those hearings begin. Now given that the record in this case was based on a completely different interest rate environment not to mention valuations of water stocks. I mean, is it fair to say that you might be actually better off having the case fully litigated because it's going to be then more reflective of the current interest rate environment? 
Bob Sprowls: Angie, it's difficult to handicap that to be honest. First of all, you do have an opportunity to continue to work on settlement. I think the way the rules are written you have up until 30 days after the completion of the hearings to settle the case. So continued discussions are ongoing. Yes so it's -- we've got a relatively new commission, with a couple of new commissioners there. So again, really difficult to handicap whether the -- whether we'll get a better outcome by litigating it but it -- you do make a very valid point that interest rates have moved up since we filed our testimony. And that should help, I think get a positive outcome here. I'm not saying, we'll do better than the 8.9% but I think the rising interest rate environment can only help the utilities in this case. 
Angie Storozynski: Yeah. Fingers crossed. Thank you.
Bob Sprowls: Thank you, Angie.
Operator: Our next question comes from Jonathan Reeder with Wells Fargo. Please go ahead.
Jonathan Reeder: Hey, Bob and Eva. How are you all today?
Bob Sprowls: Okay.
Eva Tang: Thank you, Jonathan.
Bob Sprowls: How are you?
Jonathan Reeder: Not too bad. So, on the GRC, since it sounds like you're not expecting a final decision until Q3 at earliest. Just wondering if you have a sense what the impact to the second quarter might be presumably, it's greater than Q1 the $0.09?
Bob Sprowls: Yes. I think well, we don't have it. Do we have a number, do we Eva.
Eva Tang: Yeah.
Bob Sprowls: But I think you're right in terms of it will be greater than $0.09, because more usage in Q2 than Q1.
Eva Tang: Right.
Jonathan Reeder: Okay. And then just my other question could an adverse outcome and the cost of capital proceeding, namely around the ROE, impact that goal of 7% plus dividend CAGR over the long-term, or do you think the board would be comfortable letting the dividend payout ratio increase a bit, especially given the strength of the balance sheet and not having external equity needs?
Bob Sprowls: Yeah. I would think Jonathan that the Board would take into account. Our payout ratio is real solid. And there is -- we look at other water utilities, we look at the electrics that are highly regulated and highly regulated gas companies. And we're -- we as an industry in the water space are at the lower end of those payout ratios. So, I would think that if we got a negative outcome we would still be pretty focused on meeting our dividend target of more than 7%. And there's quite a bit of headroom in that payout ratio.
Jonathan Reeder: Right. Okay. Well hopefully it doesn't come to that hopefully this rising interest rate environment does help you guys. So, good luck as the hearings continue on today and the rest of the week and look forward to seeing what comes out of it.
Bob Sprowls: Thank you, Jonathan.
Eva Tang: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Bob Sprowls for any closing remarks.
Bob Sprowls: Thank you, Joe. Yes, I just want to wrap it up today by thanking all of you for your participation today, and letting you know that we look forward to speaking with you for the next quarterly earnings call. Thank you all very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.